Operator: Good day, everyone and welcome to the Sharecare Third Quarter 2022 Earnings Call and Webcast. All participants are in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please also note today’s event is being recorded. On today’s call we have Mr. Jeff Arnold, Chairman and CEO; Mr. Justin Ferrero, President and Chief Financial Officer, as well as Mr. Jaffry Mohammed, Chief Operating Officer, who will join for the question-and-answer session. Before we begin, we would like to remind you that certain statements made during this call will be forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, which includes statements regarding potential strategic reviews and our guidance. These forward-looking statements are subject to various risks and uncertainties and reflect our current expectations based on our beliefs, assumptions and information currently available to us. Although, we believe these expectations are reasonable, we undertake no obligation to revise any statement to reflect changes that will occur after this call. Descriptions of some of the factors that could cause actual results to differ materially from these forward-looking statements are discussed in more detail in our filings with the SEC, including the Risk Factors section of our Form 10-K for the year ended December 31, 2021. In addition, please note that the company will be discussing certain non-GAAP financial measures that we believe are important in evaluating performance. Details on the relationship between these non-GAAP measures to the most comparable GAAP measures and reconciliation of historical non-GAAP financial measures can be found in the press release that is posted on the company's website. I would now like to hand the conference call to Mr. Jeff Arnold. Jeff, please go ahead.
Jeff Arnold: Thank you all for joining us this morning. For the third quarter of 2022 we delivered revenue of $114.6 million and adjusted EBITDA of $7.2 million, reflecting our continued momentum across the business. During the quarter, we executed on our strategy as evidenced by signing a multi-year strategic agreement with Carelon, the healthcare service subsidiary of Elevance Health, expanding our EBITDA margin, reducing our cash burn and tracking to hit our core KPIs of $12 million eligible lives and $6 million medical records processed by year-end. We previously discussed our plans to support growth through expansion of our sales team and channel partnerships. I'm pleased to report that we've increased our pipeline by 300% on a year-over-year basis and nearly doubled our RFPs, which doesn't account for the up sell opportunities with existing clients across our installed base. Our third quarter performance and the strength of our pipeline across all three channels gives us confidence for 2023 and beyond. With $203 million on our balance sheet, we are very secure financially and well positioned to fund our continued growth. In the enterprise channel, we continue to focus on delivering value to our customers through well-being engagement, lifestyle and disease management, cost of care optimization, and improved quality and access to care. As mentioned, we took another important step in expanding our relationship with Elevance by closing the contract for our multi-year strategic partnership with Carelon. Together, we are integrating our digital first advocacy solution, Sharecare Plus and to their health guide services for hundreds of thousands of their members, which speaks to our ability to drive member engagement and increase value for our strategic partners. This is one of the largest contracts we've signed at Sharecare and our hope is that our existing installed base views this large scale deployment as a vote of confidence in adopting Sharecare Plus for their populations. As a reminder, Sharecare Plus is our digital-first comprehensive advocacy solution designed to deliver value through benefits navigation, clinical engagement, virtual care and chronic case and utilization management. And as advocacy is a very intentional and strategic addition to the Sharecare platform. We continue to invest in our capabilities to aggregate longitudinal clinical data with digital connectivity with health systems, advanced clinical, cost of care analytics and deliver high touch care utilizing telephonic and in-home care models through our CareLinx network. We also continue to build out our digital therapeutic ecosystem, including investing in Sharecare’s clinically validated programs. Related to that, we continue to invest in retaining and recruiting talent on our teams, including the recent appointment of our new Chief Medical Officer, Dr. Jud Brewer, a renowned psychiatrist, neuroscientists and Co-Founder of MindSciences, which Sharecare acquired in June of 2022. Dr. Jud is leading the build out of our digital therapeutics ecosystem. We also see a shift towards payer agnostic family and clinical advocacy among medium to large employer groups and benefits consultants. We continue to collaborate with Elevance’s national accounts team to offer multi-payer solutions to our joint customers. And from a financial perspective, Sharecare Plus moves Sharecare into higher PMPMs associated with the benefits navigation space with the ability to take upside and downside risk on the cost and quality of care. Further in light of the current macro environment, we have found that the labor market continues to be tight. Talent retention remains one of the top priorities of our employers and a digital-first health advocacy solution can play an important role in increasing employee satisfaction. Even as uncertainty in these markets may persist, we anticipate we will continue to see increased demand for the value added and cost efficient advocacy solutions. Additionally, with our ability to leverage employees longitudinal data alongside Sharecare’s proprietary community well-being data and insights, we can deliver actionable precision analytics they yield high ROI, helping employers improve well-being and optimize the overall cost of benefits. While these collective strategic efforts and market dynamics are helping Sharecare Plus resonate well with the market. The momentum we are seeing is about more than advocacy. The market is recognizing that the sum total value of the capabilities we have assembled at Sharecare over the last decade is greater than its parts. Our comprehensive interoperable platform is yielding strong demand as we continue to solve for the vendor fatigue that benefit managers are facing giving the overwhelming number of point solutions available. Simply put, we believe, Sharecare is uniquely positioned to deliver the impactful member experience that they're looking for with the ease of implementation, whether onboarding an entire population for the first time, for introducing new clinical capabilities within the platform, such as advocacy for home health. In addition to Sharecare Plus agreement with Carelon, we've experienced diversified growth in our enterprise channel during the quarter with strength in our home health offering. This quarter marks the one-year anniversary of our acquisition of CareLinx, which has been very successful both in opening us to new markets and datasets and expanding the capabilities we offer to our health plan, employer, government and provider customers. Since we acquired this asset, CareLinx has delivered excellent results in achieving and exceeding the medicare supplemental benefit targets for our Medicare Advantage customers. To-date, we have grown the Medicare Advantage members we serve from 300,000 to over 1.8 million, and we expect that market to continue to expand as we look to 2023 and beyond. We have successfully integrated CareLinx capabilities into our core advocacy offering, increasing our precision for engagement. We continue to invest in and expand CareLinx’s capabilities to deliver clinical services, to reduce the cost of care through high quality, transitional care services to optimize readmission rates. And Provider, this channel is performing very well. This was our largest quarter in the company's history with $29 million in revenue, an increase of 20% year-over-year and an expansion in margins. We are working on driving additional margin expansion by automating processes and globalizing a portion of our workforce. The third quarter also saw a record number of records processed as we strive to achieve $6 million for the year. It is important to note that we hired Harsha Panyadahundi, who has an extensive payer and provider ecosystem expertise as our Chief Technology Officer in the quarter. Harsha is already making an impact in driving efficiencies throughout the business that will yield higher margins as we look 2023 and beyond. In Life Sciences, we saw success in continuing to grow our top 20 pharma clients and brands and maintained solid client retention in the quarter. Like others in the industry, we're seeing reduced media spend for pharma DTC. According to IQVIA's Channel Dynamics data from July 2022, pharma DTC promotional spending through July was down more than 14%, compared to the prior year. And from what we can see, we'll continue to trend in that direction for the rest of the year. We're also seeing fewer new pharma brands being supported, especially compared to last year, which was a particularly robust year for new brand indications. It's worth noting that the Life Science channel has historically performed very well, growing organically over 35% in 2021, and has also grown year-over-year through the third quarter even in a challenging macro environment. Despite the headwinds, we're optimistic about growth from our 2023 Life Sciences product suite and confident our positive performance metrics will continue to drive renewals, and keep Sharecare at the forefront of buying decisions. Additionally, capitalizing on assets and talent realized through our 2021 Doc AI acquisition, Sharecare recently introduced the next generation of the Smart Omix platform, our proprietary no code solution that enables real world data collection and digital biomarker creation by empowering researchers, clinicians and academic institutions to conduct digitally enabled research studies independently. By expanding Smart Omix’s capabilities, Sharecare not only broadens the scope of its opportunity in Life Sciences beyond the point of commercialization, but also plays an important role in advancing relevance, equity and data integrity and clinical research across the healthcare continuum. Given our expertise in engaging consumers, we will continue to invest in capabilities to bring efficiencies to clinical research for our pharma and non-pharma customers. Regarding our previously discussed strategic review, we continue to actively evaluate a number of potential opportunities to enhance shareholder value. We have seen a lot of excitement around Sharecare, so there remains an array of potential comes, but we won't be commenting further unless and until additional disclosure is necessary or appropriate. Additionally, we have $50 million still available in our stock buyback program. With the strength of our balance sheet and our belief in the value of our assets, we will continue to evaluate future use of that alternative to drive value for our shareholders as well. I'm proud of what we've accomplished so far this year and I feel we are incredibly well positioned to achieve our future growth goals. Now let me turn the call over to Justin, who will review our financial results for the quarter and share some additional commentary regarding the remainder of fiscal 2022.
Justin Ferrero: Thanks, Jeff and thanks to everyone for your continued interest. As Jeff shared, we delivered strong results for the third quarter of 2022 for both revenue and adjusted EBITDA. I'll first share the third quarter results and then provide some commentary on the remainder of 2022. Our third quarter revenue grew 9% to $114.6 million from $105.6 million a year ago. Growth in the quarter was driven by year-over-year increases in eligible lives on the platform and an increased number of records achieved. Year-over-year growth was impacted by our previously disclosed decision to sunset certain businesses, which resulted in a revenue reduction of approximately $9 million over the prior year period. When normalizing for the sunsetting of those products, our overall year-over-year growth was 19%. Adjusted EBITDA for the quarter was $7.2 million from $7.9 million for the prior year period. Our adjusted EBITDA performance was due to a combination of factors, including cost management, as well as gross margin expansion in both our Provider and Life Sciences channels. Note that the third quarter adjusted EBITDA margin of 6.3%, represents a significant increase from Q2 adjusted EBITDA margin of 2%. In addition, we remain in a very strong financial position with $203 million in cash in our balance sheet and over $250 million in available cash. I will note that our cash burn in the quarter was reduced to $9 million, which represents a significant reduction to cash burn from Q2. Last quarter, we suspended guidance for the remainder of 2022 and stated that we would hold an Analyst Day in Q4. As an update, the scheduled meetings with all of our analysts for early December, and currently plan to provide guidance for 2023 in connection with our Q4 call. To close out my comments, I want to reiterate that we remain confident in Sharecare's long-term outlook. So far in 2022, we have enhanced our product offerings with our home health and advocacy solutions, significantly grown our pipeline and reduced cash burn. We also have a very strong balance sheet, enabling us to continue to invest in growth. Thank you all for joining us today. We'll now open the call to your questions.
Operator: Ladies and gentlemen, at this time we will begin the question-and-answer session. [Operator Instructions] Our first question today comes from David Larsen from BTIG. Please go ahead with your question.
David Larsen: Hi, congratulations on the very good quarter. Can you talk a little bit more about the Carelon deal and the on-boarding process there? And it seems to me like, in my mind, enterprise is like your core solution set. What kind of in cell potential is there into Carelon in terms of total membership? How's the PMPM retrending? And any color you can give on the margin profile of enterprise, your goal long-term, that will be very helpful. Thank you.
Jeff Arnold: Great. Thank you. We're really excited about our relationship with Elevance and Carelon and we're able to close that contract last quarter. We're in the middle of implementation. We will be -- we'll have hundreds of thousands of members onboarded in Q1 of 2023. And we think that's going to give us our clients a lot of confidence to be able to sell into our installed base. We'll have almost 900,000 members on Sharecare Plus heading into 2023, so a new product launch higher PMPMs, nearly 900,000 members to start. And then we have our big 12 million member installed base to sell into. And Justin, do you want to talk about the margin?
Justin Ferrero: Yes. And the margins really Dave, are similar to how we've guided in the past. Enterprise margins are right around 50%, 49% to 50%, but we believe with our digital-first platform that we can expand those to the mid-50s over the long-term.
David Larsen: And then how about EBITDA margin for enterprise long-term, Justin, what's your goal?
Justin Ferrero: Well, as you know, we're a single reporting. So we don't break out EBITDA margin by division, but our long-term goal is 20% plus and think of that over a three to four year period.
David Larsen: Okay, great. And then I think, I heard you say that you're helping the plans bear risk. Are you bearing risk yourselves, taking a PMPM rate and bearing risk yourself? Or can you maybe talk a little bit more about that? Thanks.
Jeff Arnold: And Jaffry, maybe have you answered that, since Sharecare, kind of, looks as these contracts are moving towards risk, kind of, how are we positioned to participate there.
Jaffry Mohammed: Sure. Yes. I mean, as you know, David, the trend is going towards the direction where more and more risk based contracts are coming up. We see billions of dollars of coming opportunity. Plus from the philosophy standpoint, we always want to align with our customer and build the commercial model. To that end, we have significantly invested in our ability to collect the data and predict. Now we would take very pragmatic approach towards taking the risk both for our fees, for PMPM, plus the upside and downward risk.
David Larsen: Okay, great. And then in terms of EBITDA, I mean, good number there $7 million is this a steady state with continued improvement in the margin? Or was there anything unusual in the quarter. It's just very good performance. We'll be at least $7 million a quarter going forward, do you think?
Justin Ferrero: Well, Thanks for that. We're proud of it too, especially the growth over Q2, 6.3% versus 2%. And a lot of what we've talked about historically, Dave is that we're fully invested and that there's a lot of leverage in our model. We're fully invested in tech and those efficiencies are now starting to kick in. And so we expect EBITDA margins to expand as we go out to 2023 and beyond.
David Larsen: Okay, that's great. I'll hop back in the queue. Great quarter. Congrats.
Jeff Arnold: Thank you.
Operator: Our next question comes from Richard Close from Canaccord. Please go ahead with your question.
Richard Close: Yes. Can you hear me okay?
Jeff Arnold: Yes.
Richard Close: Okay, great. So just to go over the Carelon and the numbers you just threw out with respect to several hundred thousand. So just to be clear, is Carelon in the $12 million existing or would that be incremental to that $12 million?
Jeff Arnold: We had planned as you know that Carelon was going to close this year and so Carelon would be included in the $12 million.
Richard Close: Okay, great. And I think on the last call, you talked about or maybe in our follow-up with respect to the importance of getting Carelon signed and that maybe others were waiting to see execution on that, but so what you're saying here is you're going to have 900,000 individuals live on Sharecare Plus January 1, did I hear that correctly?
Jeff Arnold: That's correct.
Richard Close: Okay, great. And then, Jeff, maybe on the Life Sciences, can you go over what you said about the -- I think you said something about IQVIAs and things were down about 14% in the July report and you said you were trending towards that number or just?
Jeff Arnold: Yes. Well, I was making the point that the macro environment for Life Sciences for direct-to-consumer advertising is down for the year. And I'm sure you're seeing that across our peers and in other sectors. But it's a great division for us, I mean, it grew 35% last year, pays for all the amazing content that we produce that we use in enterprise and we're holding serve, meaning that even in these headwinds, we're still growing in Life Sciences, we're just not growing as fast as we were last year. But there's headwinds and 35% of our Life Science revenue comes in Q4, and so we expect softness in that area in Q4. But on a positive side is we're seeing some momentum in the upfronts, and so for 2023 and we're seeing some new brand indications and retaining existing clients. So we're still very bullish on Life Sciences. It's just we're kind of working through some of these macro issues that many others are as well.
Richard Close: Okay. That's very helpful. And then maybe Justin from a modeling prespective, I know you put this in the queue. Can you give us the divisional revenue numbers for the quarter?
Justin Ferrero: Yes. So on the consumer side, we were call it $20.7 million and Provider, we were $28.7 million and then in enterprise $65.2 million.
Richard Close: Okay.
Justin Ferrero: You know, which is a path to [Technical Difficulty] lift in each of those divisions over Q2.
Richard Close: Okay. And my final question is just like on enterprise, it sounds like you guys have a lot of momentum there. Just want to be clear, your thoughts on the uncertainty and the macro economic uncertainty. You're not seeing any pullback with respect to employers saying, hey, we're going to shelve expanding in offerings like this at all?
Jeff Arnold: Well, we are seeing some trends like we've seen finalist meetings get delayed or RFPs been pulled back. But I think what's so interesting about Sharecare's business is we've got this massive installed base of members, right? So we have 12 million members and then all of a sudden we launched Sharecare Plus and we go build this great offering. And also now we've got 900,000 new members that are going to be onboarding into Sharecare Plus at a higher PMPM. And at the same time, we're building out a bigger sales force and we're building better relationships with the brokers and taking that new offering back into the installed base. So there's just a lot of activity. And I believe the services that we offer are extremely important right now for our employer retention and managing cost. And so that's contributing to a big pipeline that's contributing to renewals, that's contributing to new sales. But yes, overall, I mean, everybody is cautious in every area of making ensure they're making the right decisions and sometimes those decisions get delayed. For Sharecare Plus, it's just the example. The first account to get Sharecare Plus was our 2,500 associates and the implementation was so easy. I just woke up one day and there was a blue button in my Sharecare app that now gave me access to a family advocate. And so there wasn't a new onboarding, there wasn't new implementation it was just a new feature. And we think that ease of use is extremely compelling to our installed base and future customers.
Richard Close: That's great. Thank you.
Jeff Arnold: Sure.
Operator: And our next question comes from Craig Hettenbach from Morgan Stanley. Please go ahead with your question.
Craig Hettenbach: Yes. Thank you. Just staying on enterprise, I know there's been a lot of growth in the sales force that you just mentioned. Can you maybe just talk about where things stand today in terms of some of those investments? How are you viewing it -- heading into 2023? And then just bigger picture, how the pipeline is evolving?
Justin Ferrero: Yes, I believe -- hey Craig, it's Justin. Thank you, I think Jeff touched on this is -- we continue to make those investments and we've brought in a great leader. We've expanded the team, we've expanded the areas of their focus from the benefits consultants to government, to commercial, to MA, so across the board. And it's showing up in RFPs that have almost doubled. Our pipeline is up 300% and so the combination of significantly expanded pipeline as we look to 2023 and 2024, and a more experienced team over that time, plus you've add -- we've now added the Carelon relationship that our enterprise business is in a really good place for the foreseeable future. Jaffry, do you want to add to that?
Jaffry Mohammed: No, I think Justin covered that, plus the packaging of our product and what Jeff mentioned in terms of having the ecosystem to deliver quality, to deliver access, and also to impact the cost of care is one of the driving factor for our enterprise business group.
Craig Hettenbach: Got it. And then maybe just switching over to the Provider business you’ve talked about some of the cost initiatives and some outsourcing. Justin, can you maybe just give an update on how you're thinking about the timeline of that like when you might see some of the benefits of those actions for margins in the upcoming quarters?
Justin Ferrero: Yes. I think it will start. It's actively underway. We've started. We have a very tight roadmap on how we just transition these resources. And the fortunate thing is, Jaffry, who's on the call with us, this is he comes from this world and managed tens of thousands of outsourced resources in his past position, and we'll start to see the benefits of that start in Q4, then we'll do other transitions of the work force in Q1 and Q2 and start to see the full benefit in the second half of ‘23. So it's a methodical approach. It's not all at one. We're referring to hundreds of employees, but we're very smart on who we're targeting the frontline workers that are touching our customers. We're keeping all of them. So this is truly backoffice where we feel like we can deliver an equal to better product, but with much less expensive resources.
Craig Hettenbach: Got it. Thanks for that.
Operator: Our next question comes from Cindy Motz from Goldman Sachs. Please go ahead with your question.
Cindy Motz: Hi. Thanks for taking my question. Just a couple of housekeeping, just going back to the segments. Justin, so of the $65.2 million in enter price. Do you have -- what is CareLinx running? Is it about $19 million at this point? And just in terms -- I'm sorry if I missed it like, but did you give a PMPM or an average PMPM there? That's just some quick things and then a couple more?
Jeff Arnold: So, CareLinx, we don't break it out exactly as we've talked about on last calls, but CareLinx is trending up. And that acquisition has been tremendous for the shareholders and our customers and it continues to grow quarter-over-quarter, but you're directionally in the right place. And then for me, what was the second question?
Cindy Motz: I was just wondering if you gave it, but I don't think -- yes, I usually it's -- I have to go back, I'll calculate the PMPM, because I was thinking maybe CareLinx is around $10 million or so. So like maybe enterprise is like $55 million, so I was just -- so I'll go back and do that, but yes.
Jeff Arnold: Let me say, yes, I'll say it this way, Cindy, because that we talked about the PMPM a lot. But with Carelon and we're in that implementation phase now. So we're not receiving full value of that contract yet, but that will ultimately increase our PMPM on an aggregate basis. So I think you'll start to see our PMPM grow over the next several quarters.
Cindy Motz: Right, and then the consumer revenue, it actually was a little higher than I would have expected. Like you said, it still grew if it was $20.7 million. So just -- and I know you're not giving updates right now on the strategic review, but just your comments would seem to indicate that now you're feeling that it is sort of the collective, sort of, groupings of businesses? Am I interpreting that right work together and I mean how should we interpret some of your comments seem to suggest now that you feel like you're getting the value from the combined entity. Am I reading that correctly?
Jeff Arnold: I would say that we've always seen value in the combined entity. That's why we put the assets together like we did. But we've taken the strategic review very serious and we have a lot of interest and we're taking our time to evaluate what's the best step forward to unlock value for shareholders. So yes, we believe in the combination. Yes, the combination is performing. And yes, we're very serious about the strategic review and carefully reviewing all options. And an effort to unlock shareholder value.
Cindy Motz: Okay. Thanks. And Justin, just one for you. I just wanted to go back to the adjusted EBITDA, because we've had the number of add backs, the transaction and closing costs for a while, it's still running like $9.3 million and I think that's cash cost. I had thought maybe that was going to be lower or not there? Like when are we going to not see that there? And then just also to what is the other expense, the $2.4 million of just if you could give any color? Thanks.
Justin Ferrero: The -- so again, as we continue to right size the infrastructure really that's been driven by increased severance for this quarter. But there is other areas that are in there, like we are reducing our footprint with leases and as we do that, that goes below the line. We're investing in things like ERP systems and workday, it's one-time things that go below the line. We expect those fees to start to come down in the first half of ’23 pretty significantly.
Cindy Motz: Okay. But we're -- okay. So we're going to see it, it's going to be there in fourth quarter. And then you -- okay [Multiple Speakers]. Okay. All right. Okay. And then, but it should -- at that point by next year then it should be gone, correct? Because it's right?
Justin Ferrero: Yes. I mean, a lot of it should be gone, but again, there could be -- there's areas that are in that number that are earn out accruals that are depending on do they -- are they earned or not, but we need to accrue form. So it won't go to zero next year.
Cindy Motz: Okay. All right. Thank you very much.
Justin Ferrero: Thank you.
Operator: Our next question comes from Eric Percher from Nephron Research. Please go ahead with your question.
Dolph Warburton: Hi, this is Dolph on for Eric. Thank you for taking our questions. My first question is on gross margin. It looks like it's a little bit lower than, I think consensus in us we're expecting. Is there anything you can tell us or share with us on the complexion of gross profit for the quarter? And is -- I think so far, we only, I think, see CareLinx as a kind of weight on gross margin, but is there anything else that we should be thinking about?
Justin Ferrero: The other one would be as we start to ramp up the advocacy business that is lower margin as we're modeling that conservatively. And so it would be those two areas that CareLinx is growing faster, and then we're now adding advocacy, and so that would be the slight drag to gross margins. They're still at 49%, which isn't much different than our last quarter.
Dolph Warburton: Okay, great. And then you said there's a lot of leverage in your business model, particularly when it comes to Q4. Are we supposed to take that, I mean, that you guys are where you think that were, kind of, steady state on G&A expenses?
Justin Ferrero: I think that we're going to continue to invest. So my comment on operating leverage, that's really across the business. It's part of what help drive EBITDA expansion in Q3. In the G&A side of the business, I think that we'll continue to expand there. We're making a big investment in advocacy and that takes investment. And as Jeff talked about earlier on one-one, we have a significant onboarding of close to 1 million lives. And so we'll be investing to deliver a world-class experience to those customers.
Dolph Warburton: Great. Thank you.
Operator: And ladies and gentlemen, with that we'll be concluding today's question-and-answer session. I would like to turn the floor back over to Jeff Arnold for any closing remarks.
Jeff Arnold: Perfect. Well, in closing, I wanted to highlight a few key takeaways from our third quarter. As I believe, we've made a lot of progress that sets us up for a successful 2023 and beyond. Number one, recruiting and retaining the talent, we've been able to assemble internally is of great importance to us. And I think we've done a great job doing that and we have an amazing team. We've expanded our relationships with Elevance by closing our partnership with Carelon, which as we mentioned is one of the largest annual contract that we've signed to-date at the company. It's been very important to us. As everyone knows, Elevance invested in Sharecare, pre-IPO. I think our team built out a world-class digital first advocacy solution. We've been able to win new accounts outside of just Carelon. And with all that momentum, we were able to secure hundreds of thousands of Carelon members for Sharecare Plus that you will see all of them represented in our financials for 2023. Our provider channel had our largest quarter in revenue ever. So it was our biggest quarter ever and that business continues to operate really well, continues to give us tons of cross-selling opportunities and access to data that we think is going to be critical as we start to look at-risk models. Our Life Science channel is facing challenging macro conditions as we discussed, but we are still up year-to-date and believe set up for a solid 2023. So we're holding serve there. And we're on track to achieve our key KPI metrics of 12 million registered lives in our enterprise business and 6 million records retrieved in our provider channel. From a financial perspective, as Justin said, our revenue is growing, our adjusted EBITDA is positive, we've continued to reduce our cash burn. We have no debt and we have a strong balance sheet. So in closing, once again, Sharecare is a diversified company. We're delivering a unique ecosystem with scale and capabilities and customers that is not accurately reflected in our stock price. We believe we represent a strong opportunity for investors and appreciate your time and interest this morning. Thank you.
Operator: And ladies and gentlemen, with that we'll conclude today's conference call. We do thank you for attending today's presentation. You may now disconnect your lines.